Operator: Greetings. And welcome to UDR’s Fourth Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference call is being recorded. It is now my pleasure to introduce your host, Director of Investor Relations, Trent Trujillo. Thank you, Mr. Trujillo. You may begin.
Trent Trujillo: Welcome to UDR’s quarterly financial results conference call. Our press release and supplemental disclosure package were distributed yesterday afternoon and posted to the Investor Relations section of our website ir.udr.com. In this supplement, we have reconciled all non-GAAP financial measures to the most directly comparable GAAP measure in accordance with Reg G requirements. Statements made on this call, which are not historical, may constitute forward-looking statements. Although, we believe the expectations reflected in any forward-looking statements are based on reasonable assumptions, we can give no assurance that our expectations will be met. A discussion of risks and risk factors are detailed in our press release and included in our filings with the SEC. We do not undertake a duty to update any forward-looking statements. When we get to the question-and-answer portion, we ask that you be respectful of everyone’s time and limit your questions to one plus a follow-up. Management will be available after the call for your questions that did not get answered during the Q&A session today. I will now turn the call over to UDR’s Chairman and CEO, Tom Toomey.
Tom Toomey: Thank you, Trent. And welcome to UDR’s fourth quarter 2021 conference call. Presenting on the call with me today are Senior Vice President of Operations, Mike Lacy; and Chief Financial Officer, Joe Fisher who will discuss our results. Senior officers, Harry Alcock; Matt Cozad; Andrew Cantor; and Chris Van Ens will also be available during the Q&A portion of the call. 2021 was a remarkable year for UDR and one that was filled with a variety of accomplishments and milestones, including, first, we completed the roll out of Platform 1.0 across our markets, thereby fully transitioning to a self-service business model. This implementation enhances customer service, resident satisfaction and has delivered nearly $20 million or 3% in additional run rate NOI through margin expansion, driven primarily by lower controllable operating expenses. Our controllable operating margin is now 250 basis points above our peers at the same average rent level and even higher for private operators. Second, we are accretively grew the company through $1.5 billion of acquisitions that utilized many of our repeatable operating and capital allocation competitive advantages. Funding these fully equities transactions with attractively priced capital further enhanced our value creation and balance sheet strength. This approach and subsequent execution has added 1% to 2% to our run rate earnings based on stabilized yields. Third, we generated total shareholder return of over 61%, which extends our track record of outperforming peer and all REIT return indices over time. Fourth, we published our third Annual ESG Report, which further supported our ongoing commitment to continually improve our corporate citizenry. In the report, we introduced enhanced greenhouse gas emissions and energy usage reduction targets, and highlighted the support that we have provided to associates and residents during the pandemic, including helping to secure over $28 million in rental assistance funds for those in need. These ESG actions and others led GRESB to recognize UDR as a global leader in sustainability and at the highest rated publicly listed residential company worldwide with a score of 86. Last, we conducted our Biannual Associate Engagement Survey, to which we are remarkable 97% participation rate. Key findings were UDR associates enablement scores were well above norm for high performing companies and a very high percentage of UDR employees believed that diverse opinions are valued at our company and those with diverse backgrounds can succeed. As we embark on our 50th year as a public company, I am excited about the opportunities ahead for us. We have a track record of consistent FFOA growth and TSR performance, as evidenced by our better than peer median earnings growth in seven years of the last nine years and significant TSR outperformance over rolling five-year periods over the past decades. We believe this robust performance will continue going forward due to, first, favorable fundamentals, apartment rental demand is robust and pricing power is as strong as I have seen in my 30-plus-year career. Second, our unique operating and capital allocation value creation drivers that should continue to drive margin expansion in excess of our industry. And third, our Next Gen operating platform and innovation tool, which compounds the benefits our best-in-class operations and the use of advanced AI data science to drive growth opportunities and cost savings. Regarding external growth, our plan is to continue to identify targeted accretive opportunities that utilize our competitive advantages. Our focus will remain on, one, finding under managed deal next door acquisitions that afford elevated margin expansion through greater on site efficiencies, two, securing DCP investments that deliver high current yield with embedded acquisition optionality, and three, expanding development and redevelopment opportunities that enhance NOI. What worked well for UDR in 2021 should continue to generate relative upside in 2022 and beyond, our best-in-class operating acumen and ability to accretively allocate capital across our diverse portfolio should continue to differentiate us versus public and private peers. Considering these attributes, we expect FFOA per share growth of over 12% at the midpoint and dividend growth of 5% in 2022. These positions UDR well to again generate attractive total returns for our shareholders. Mike and Joe will provide additional color on our guidance in their commentary. To summarize my thoughts on actions taken during 2021, we accretively grew the company by $1.5 billion, we were far more active than peers in utilizing attractively priced equity and we fundamentally changed how we interact with our customer by moving to a self-service business model through our Next Gen operating platform. As stewards of your capital, we appreciate your trust in our people, process and strategy, which has been critically in enabling us to build and continue to build and deliver on our vision. Last, our long-term success has been and will continue to be founded on our people and our culture. We all have experienced a lot of change over the past two years and I’d like to express sincere gratitude to my fellow UDR associates for their hard work, their compassion and their willingness to think outside the box. I look forward to another strong year of growth in 2022 and beyond. With that, I will turn it over to Mike.
Mike Lacy: Thank you, Tom. To begin, strong same-store results supported fourth quarter FFOA per share at the high end of our previously provided guidance range. Sequential same-store cash revenue grew 3% in the fourth quarter, defying the traditional seasonal slowdown. Key components of our 9% and 11.4% year-over-year same-store cash revenue and NOI growth included; effective blended lease rate growth of 11.7%, which accelerated sequentially by 350 basis points versus the third quarter and was supported by minimal concessions granted; weighted average occupancy of 97.1%, 100 basis points higher than a year ago; and annualized turnover of approximately 35%, which declined by more than 650 basis points versus a year ago and was approximately 500 basis points below our historical fourth quarter turnover rate. These favorable trends have continued into 2020. Demand for multifamily housing remains unseasonably strong. January occupancy ticked up to 97.4% and blended rate growth continued to accelerate to over 13%, as we sustained rate growth to strengthen our 2022 and 2023 rent roll, with market rents already increasing approximately 2% to start 2022. Market rents continue to demonstrate strength and our loss-to-lease last has held steady at 11%. We are capturing this embedded upside by driving rental rate higher and utilizing platform initiatives unique to UDR. Expanding on our industry-leading platform, we have now fully rolled out Platform 1.0of our Next Gen operating platform across all our markets and have turned our attention to the next phase, which we call Innovation 2.0. This builds upon our unique self-service model that has permanently reduced head count at our communities by 40% on average, driven our control of operating margin 250 basis points above peers at the same average rent level, increased our residents satisfaction scores by 24% since 2018, and generated nearly $20 million of incremental NOI on our legacy communities. We view Innovation 2.0 as the next evolutionary step that will further expand our controllable margin versus public and private peers as we continue to differentiate ourselves within the industry. Arriving at the intersection of data and decisions, we are leveraging data to better understand resident and prospect decisions, making to improve resident experience, while driving rents retention, vacant days, other income and controllable expenses. With a higher focus on revenue growth and Platform 1.0, we have identified five big picture topics that have a max potential to deliver more than $100 million of incremental runaway NOI. This includes pricing engine optimization that turns shoppers into buyers, reducing vacant days, leveraging residents and prospect data to improve their experience, increase our share of resident wallet and additional controllable expense reductions. We have already identified near-term operating initiatives among these categories that should deliver at least $20 million of incremental runway NOI over the next 24 months. Our platform also broadens our acquisition and capital allocation opportunities as we can scale our operations, drive more expense control and introduce unique other income opportunities. UDR has been the most active acquirer in our peer group over the last three years and we have a demonstrated ability to consistently drive outsized growth at these new communities by implementing our platform and other unique value creation initiatives. Thus far, we have expanded the weighted average yields on our nearly $1 billion of third-party acquisitions from 2019 by 70 basis points to 5.5% and above 6% on a mark-to-market basis once loss-to-lease is captured. This 33% yield improvement is well in excess of market growth alone. Harry, Andrew and our transaction team have done an excellent job finding deal next door acquisitions in desirable markets where we can create value through our platform capabilities, and we expect similar yield expansion from our $1.8 billion of late 2020 and full year 2021 acquisitions, due to our repeatable competitive advantages. Already, these acquired communities are outperforming year end underwriting by an average of 20 basis points and have 90 basis points of incremental upside on a mark-to-market basis based on current loss-to-lease. Our yield on these acquisitions would be in the mid-5% range upon capturing this upside. Turning to 2022 guidance, we expect to achieve 8.5% same-store revenue growth and 11% same-store NOI growth at our midpoint on a straight line basis. To provide some color on the drivers of this growth, first, we expect effective blended rate growth of approximately 6.5% to 7.5%, with blended rate growth in the first half of 2022 in the 10% to 11% range. Second, we expect occupancy to remain relatively high and average 97.2% to 97.4% or 10-basis-point to 30-basis-point improvement our full year 2021 results. But to be clear, our focus is on driving rents, and we expect to maximize revenue by keeping occupancy around the current level. And third, we expect controllable operating expense growth to be limited to the 2% to 3% range or 50 basis points better than our overall same-store expense growth. While the above assumptions imply a second half slowdown and blended rate growth closer to historical norms, it is important to know that we are not seeing any signs today that would point to a slowdown of that magnitude. Demand, traffic and wage growth remains strong. Relative affordability is in our favor and rents continue to move higher. The high end of the range would be achieved by a continuation of current demand trends and blended rate growth remained higher than typical seasonal rates. Conversely, the low end of our range reflects the continued challenges coming from, one, regulatory restrictions on renewal rate growth and fees, two, the approximately 500 long-term delinquent residents, half of which have been nonresponsive to our efforts in seeking government assistance, three, the elongated or prohibited eviction process in roughly 65% of our markets with a two-month to six-month process for courts to process evictions where they are allowed, and four, cycling more difficult comps in the back half of 2022. Therefore, our full year guidance embeds some initial conservatism on the second half of 2022. However, we will have visibility on 65% to 70% of our full year rent roll by the end of April and plan to reassess our guidance assumptions as we enter the traditional peak leasing period. We are convicted in our upcoming results and are pricing our apartment homes to both capture the current rent opportunity and build a strong rent roll that should support attractive same-store growth in 2023 as well. Moving on, we see broad-based pricing strength across our portfolio. Concessions remain almost nonexistent and we are only offering one week to two weeks on average in select submarkets within San Francisco and Washington, D.C. At the portfolio level, growth potential rents are up 5% to 6% on average versus pre-COVID levels. Incomes are up similar amount, so rent income ratios have remained stable in the low 20% range. This support strong pricing power given the trajectory of wage inflation, relative affordability among housing options and our current laws to lease of 11%, across our markets and product types excluding the approximately 10% of NOI that remain subject to regulatory restrictions and limits on renewal increases, we have seen a convergence in effective growth rates among our urban and suburban, Sunbelt and Coastal and A&B quality communities. We expect this trend to continue as the year progresses. Finally, we remain successful in accessing rental assistance programs, which benefit our collections. During 2021, we sourced more than $28 million in assistance for residents in need, with $10 million of this coming during the fourth quarter in a similar pace continuing to January. We have another $13 million of application process, with the majority related to residents and former residents in California and the State of Washington. We continue to have only a small segment of less than 1% of our residents that are long-term delinquent, but many of the markets in which we operate face delays or restrictions in the eviction process. Nevertheless, we are leveraging the work of our dedicated governmental affairs team to mitigate the risks associated with the regulatory backdrop and generate positive outcomes for residents, the company and our stakeholders. In closing, 2022 has started even stronger than 2021 finished. We continue to innovate and enhance our industry-leading operating platform and I thank all of my colleagues for their dedication to setting the bar higher on how we do business. And now, I will turn over the call to Joe.
Joe Fisher: Thank you, Mike. The topics I will cover today include our fourth quarter and full year 2021 results and our initial outlook for full year 2022, a summary of recent transactions and capital markets activity, and a balance sheet and liquidity update. Our fourth quarter FFO as adjusted per share of $0.54 achieved the high end of our previously provided guidance range and was supported by strong same-store revenue growth and accretive transactions. Not captured in FFOs adjusted is the approximately $35 million of realized and unrealized gains from real estate technology investments during the quarter, primarily from SmartRent becoming a public company. The nearly $60 million of full year 2021 gains related to these investments have effectively funded Platform 1.0 infrastructure, including our proprietary data hub, AI and data science initiatives, and the installation of SmartHome technology across our portfolio. Looking ahead, our full year 2022 FFOA per share guidance range is $2.22 to $2.30. The $2.26 midpoint represents a more than 12% increase versus our full year 2021 result of $2.01. This increase is driven by the following, a $0.27 benefit from same-store joint venture NOI, a $0.03 benefit from non-same-store communities through additional accretion and yield expansion from our fully equities 2021 acquisitions, offset by $0.02 from higher interest expense, $0.02 from increase in our development pipeline and the initial lease up drag on several projects and $0.01 from increased G&A expense. For the first quarter, our FFOA per share guidance range is $0.53 to $0.55. This is supported by continued positive sequential same-store NOI growth and accretion from recent capital allocation activities, offset by the January payback of our 1200 Broadway DCP investment, development lease up drag and higher G&A. For same-store guidance, our full year revenue and NOI growth ranges on a straight line basis are 7.5% to 9.5% and 9.5% to 12.5%, respectively, 100-basis-point difference between our cash and straight line same-store guidance ranges as outlined on Attachment 14 of our supplement, account for the residual impact of amortizing prior concessions that are not expected to repeat in 2022. Should market strength remain, emergency regulatory measures continue to sunset and we are able to capture market pricing, we believe there’s upside to these initial forecast. However, the embers is true as well. Finally, our 2022 annualized dividend of $1.52 per share, represents a healthy 5% increase compared to our 2021 dividend, which enhances our total return profile. Based on our AFFO per share guidance, our 2022 dividend reflects a payout ratio of 74%, which is similar to our pre-pandemic payout ratio in the low 70% range. Additional guidance details, including sources and uses expectations are available on Attachment 14 and 15D of our supplement. Next, our transactions update. Our gross 2021 acquisition activity total approximately $1.5 billion. During the fourth quarter, we accretively acquired three communities for roughly $410 million, sold one community for $126 million and committed $52 million to a new DCP investment. One of our recently completed acquisitions was sourced from our DCP portfolio and partially funded through the issuance of OP units, illustrating both the embedded optionality we have with these investments and our access to a diverse and accretive capital allocation menu. Most of our 2021 acquisitions have been in markets that are predictive analytics framework identified as desirable, nearly all are located proximate to other UDR communities and all have been matched funded with accretively priced equity and disposition capital. We will continue to utilize this asset selection playbook moving forward to generate outsized yield expansion through our multiple value creation drivers, which enhance year one through year three yields well in excess of what the market alone provides. Please refer to yesterday’s release for additional details on recent transactions. Moving on, our investment grade balance sheet remains liquid and fully capable of funding our capital needs. Some highlights include, first, we have only $290 million of consolidated debt or just over 1% of enterprise value scheduled to mature through 2025 after excluding amounts on our credit facilities and our commercial paper program. Our proactive approach to managing our balance sheet has resulted in the best three-year liquidity outlook in the sector and the lowest weighted average interest rate amongst the multifamily peer group at 2.8%. Second, as of December 31st, our liquidity totaled $1.4 billion, as measured by our cash and net credit facility capacity, and including the approximately $235 million and future expected proceeds from the settlement of our outstanding forward equity sale agreements. Last, largely due to fully equitizing 2021 acquisitions and an upward inflection in NOI, our financial leverage continues to improve and was 22% on enterprise value inclusive of joint ventures, while net debt-to-EBIDTA was 6.4 times down from 6.8 times a year ago. Taken together, our balance sheet remains in excellent shape, our liquidity position is strong, our forward sources and uses remain balanced, and we continue to utilize a variety of capital allocation competitive advantages to create value. With that, I will open it up for Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes in the line of Nick Joseph with Citi. Please proceed with your question.
Nick Joseph: Thanks. You talked about being active on external growth over the past year and kind of the playbook of buying properties, your existing UDR assets. How does the pipeline look today in terms of that external growth opportunity?
Joe Fisher: Hey. Nick, it’s Joe. Good to hear from you. Yeah. I guess, I’d say, pipeline got a little bit lighter at year end and Andrew Cantor will probably give you a little bit of color on cap rates and kind what we are seeing today. But, yeah, over the last year, we have been pretty active on the external growth front, trying to target markets that we believe are set up for good long-term growth, as well as assets specifically that fit within the platform and have all the value creators that we are typically looking for. You did see, though, we went pretty light on any external growth and new equity issuance there in the fourth quarter subsequent to last quarter’s call, really driven by the fact that we want to make sure we find accretive deals and match fund those. So, it kind of gives you a signal a little bit for how we are looking at the pipeline throughout the fourth quarter. But, Andrew, can you kind of tell them what you are seeing in the market today?
Andrew Cantor: Yeah. This is Andrew Cantor. It’s good to hear your voice. Cap rates have come down probably 25 basis points to 50 basis points since last year to kind of a range of 3.5% to 4%. One of the key things is there’s little diversification between market and construction type, location and age. So we are going to continue to look for the acquisitions where we can have a competitive advantage. Like, Joe said, it’s where we can create repeatable above market NOI, so really leveraging the operating platform, focusing on the deal next door where we have visibility into the opportunities that enhance both operations and a quality of the improvement to create meaningful long-term value creation, invest in markets that are identified by our predictive analytics model, implement capital programs to enhance the community, and of course, there’s always an addition to the actual market rent growth that will vary by individual markets and is likely priced into the asset.
Nick Joseph: Thank you. And then you mentioned the focus on ESG and the initiatives, I think, you talked about energy and greenhouse gas emissions. How are you thinking about the cost and the return on those programs?
Tom Toomey: Yeah. So, when you look at our Corporate Responsibility Report that we put out this year and, we talked a little bit about the score of 86 and how proud we are in the efforts there and not just GRESB, but all the all around efforts. Let’s say, what you will see us committed to and what I will speak more to on a go forward basis is the commitment to science-based target initiatives on a go-forward basis. And so as we work through that process, we are going to get a lot better handle on what our longer term targets, what are the actions we are going to need to take. And so we are going to look across that in terms of prioritization by what’s the carbon footprint by assets, as well as the regulatory overlay as some of these markets have a little bit more of a regulatory constraint or a push, if you will, you are seeing a lot of Climate Act mobilization type of things, targeting net zero, taking place in states like California, Washington, New York and others. So, in terms of the dollars in returns, probably too early to say at this point, we have had a pretty active approach to it, installing more solar, more EV, things of that nature over the last five years to 10 years. But we will continue to refine that as we get into the SO -- SBTi and kind of talk it through next year with the investor base.
Nick Joseph: Thank you very much.
Tom Toomey: Thanks, Nick.
Operator: Our next question comes from the line of Anthony Pallone with JP Morgan. Please proceed with your question.
Anthony Pallone: Great. Thank you. I think this is probably for Mike. Can you talk about what you have embedded in guidance in terms of market rent growth, because I think you have mentioned the 2%? That sounds like it’s already unfolded in the last month or so. But just curious what you have baked into the guide over the course of the year? And then, I guess, in that same regard, I should be able to do this math. It doesn’t always work, like, where does that put those spreads, like, come the fourth quarter, like, do they go from 13% to 3% or 6% or maybe help us with that trajectory?
Mike Lacy: Hey, Tony. Yeah. No. I appreciate the question. I think, first and foremost, it’s good to back up and just think about how 2022 was made up. And the earning we have referenced previously is around that 2.7%. And in my prepared remarks, I mentioned our blends are 10% to 11% in the first half. And basically, you have to take those two numbers, add them up, divide it by 2 and that gives you a pretty good idea of where your effective rents should be for the year. And frankly, that’s around 700 basis points of our 8.5% that we have for midpoint on a straight line basis for revenue. So that gives you an idea of how much is being made up of rents today, and again, it’s a lot of what already happened and what’s about to happen in this first half of the year. But that being said, we have received some questions regarding our loss-to-lease and kind of the 6.5% to 7.5% that we have on blends for the year, so let me just take a minute to walk you through that. First, when we originally sent out our renewals for January and February of this year, we expected more typical seasonality and that is we expected flattish sequential growth as it relates to 4Q of last year. And frankly, we saw a 200 basis point increase in market rents to start the year. So we essentially banked additional growth early 2023, assuming fundamentals remain strong. Second, the regulatory restrictions on rental rate increases have and will continue to restrict our ability to fully capture market growth in some of our markets in 2022. But assuming these restrictions sunset at some point this year, we do expect to capture that rate growth in 2023. And third, I’d tell you, as you know, we need to maximize revenue growth, not just rental growth, and as such, occupancy and retention affect our renewal calculus. For some of our markets, we already gave existing residents big pops last year, popping them with 15% to 20% rate increases again this year, especially in the Sunbelt, could cause rent growth fatigue, but time will tell, so we will see how that transpires throughout the year. And again, this just means we are going to realize most of this growth as we move into the latter half of this year and really into 2023. So, I would tell you, overall, Tony, we are expecting to capture our existing loss-to-lease and future market rent growth over the next two years, not just 2022. And to put this potential in perspective, assuming 2022 plays out like a typical year when market rents grow throughout the year, we would expect to have mid-to-high single-digit loss-to-lease moving into 2023, as well as a strong earn-in should fundamentals continue to hold up. And frankly, we will know more in the next few months, when we get on our call in April, we will be able to discuss these trends in more detail and we will have a better idea of what the back half looks like.
Anthony Pallone: Okay. Great. Thanks for that. And then my follow-up question is just more on the capital side, maybe for Harry or Andrew. With regards to cap rates, like, what -- you mentioned a 3.5% to 4% market number. But given just the move in NOI we are seeing to bounce back, like, what is that based on, is that -- are people adjusting cap rates now that the look ahead is a lot provide higher NOI or just the pound for pound asset values just really going up quite commensurate with NOI?
Tom Toomey: Hey. Tony, it’s good to hear you. So, if I am understanding your question, you are asking, how are people underwriting those deals today?
Anthony Pallone: Yeah. Just try to understand, like, we are still tight, like when we started to talk about cap rates in the three years, it was off of kind of trough NOI, we are seeing pretty big rebounds here. So are the asset values keeping pace or are we going to be talking about for caps in a few quarters, just because NOI is higher or how -- what’s happening with that?
Tom Toomey: Yeah. I mean, in today, I mean, people are definitely are underwriting rent growth that none of us have seen, right? This is -- we are achieving rent growth at the property level that’s higher than we have seen in most of our careers. And so what’s happening is, people are no longer looking and saying, hey, this rent growth is, will catch it in market -- in our market growth, we are now looking at loss-to-lease and we are pricing assets based on the current trend of leasing moving forward, right? So, you are capturing a much greater level of NOI in that first year than you would have normally. So that’s what -- that’s where you are getting a lot of growth. So people are willing to pay a lower cap rate today, because in the short-term, right, in that first 12 months, you are going to capture a lot of that loss to lease.
Anthony Pallone: So these…
Mike Lacy: Tony, listen to me…
Anthony Pallone: 3.5…
Mike Lacy: …I’d probably just add to it. I mean, the wall of capital chasing this asset class is off the charts. And when you go talk through people about their capital and what their leverage plans are and their sensitivity about rates, they are kind of less -- we are comfortable with a low profile on the leverage and we just -- we are underweight this asset class. We have to buy it to get back into the weighting we want and we like the long-term attributes of it, how it performs up times, down times. And so, I think, the wall of capital overcomes any interest rate environment. Assets go up next year. The NOIs, you can see from our guidance and everyone else’s. We think it’s a strong NOI window in 2022, 2023. And so, I think, asset values are going up, cap rate calculations, they are always all over the map.
Anthony Pallone: Okay. So people are willing to pay these cap rates even on the higher forward NOI, it sounds like?
Mike Lacy: Absolutely.
Anthony Pallone: Okay. Thank you.
Tom Toomey: Tony, very -- just a couple other things. I think as more of this inflated NOI growth is behind us, you will probably do see cap rates move up a little. But remember, you are embedded NOI is higher, so therefore values are probably also likely higher. The second thing that’s happening is replacement costs continue to move up and so if replacement costs are up 10%, 15%, 20%, 25%, I mean that, that becomes sort of another metric the buyers look at when assessing an appropriate price for an asset and overall asset values. You still have a lot of positive momentum as it relates to asset values.
Anthony Pallone: Right. Great. Thanks for the time.
Operator: Our next question comes from the line of Rich Hill with Morgan Stanley. Please proceed with your question.
Rich Hill: Hey, guys. First of all, thank you for all the transparency on the guide and what’s included, what’s not included. Can you tell me for a second, I just wanted to maybe understand this a little bit better. If I take your loss-to-lease and let’s just assume I can certainly give you 50% credit for recapture of that. You have 2% rent increases already in January. Doesn’t that get me to 7.5% versus your same-store revenue guide, which is on a cash basis not too far off from that? Why isn’t this supposed to be something much higher than that? And I recognize that you said you are going to have more visibility and there’s some conservatism built in the second half. I am just trying to do the gymnastics myself where -- trying to understand where it potentially could go. So what’s wrong in the math that I am thinking through and maybe how should I should I be thinking about it?
Joe Fisher: No. Rich, I think, you are thinking about it right and that’s where we have visibility today, we do see that earn-in starting to really take hold and that’s why we have those blends of 10% to 11% upwards through the second quarter. After that we start to enter our leasing season and we want to see just how that starts to play out to some degree. That being said, we do think that there’s more opportunity in the back half of this year. We just want to wait and see how that plays out.
Rich Hill: Okay. Helpful. Can we talk about expenses for a second, I was pleasantly surprised by the guide. I think it was at 3% at midpoint. That seems pretty good relative to inflation. Is there anything specifically with your Next Gen operating platform that’s driving that lower? How should we think about that?
Joe Fisher: Yeah. No. It’s a really good question. And I think the best way to do this is break it down for you. So, to your point, that 3% midpoint. But when you look at our controllable expenses, we expect between 2% to 3% and a lot of this does have to do with what we have done with the platform. For example, personnel, as we go into this year, we really expect between zero percent to 2% growth. Some of that’s based on the stuff that we already put in place and we get that benefit in the first half of this year. But that’s a big piece of it. And then R&Ms are going to start to come back down in that 4% to 5% range, much lower than what you have been seeing over the last year or two, because we have basically gone through and we have already entered into the third-party contracts with our groups. We are starting to cycle through that. So we expect a more normalized rate going forward. And then on our marketing side, we expect flat growth. So, again, controllable expenses in that 2% to 3% range compares to 2.2% in 2021 and really 1% over the last three years. So the platform has really allowed us to get pretty efficient as it comes to controllable expenses. And then on the non-controllables, which as you know makes up about 45% of our stack were between 3.5% and 4% expectations this year, compares to about 5.3% in 2021 and that’s basically made up of taxes of 4% to 5% and then our insurance in that zero percent to 5% range.
Rich Hill: Got it. And then just maybe one follow-up question going back to the guide, what the heck happened in January, look, I recognize that January is seasonably strong relative to 4Q, but it’s almost like a light switch and so you have boots on the ground and we just write about things for a living, what happened in January, is there anything fundamentally different and is this the new normal or are you watching to see if this was an aberration for some reason?
Tom Toomey: Excellent question. And I will tell you that it points back to retention. When we entered the year, we expected we were going out with some pretty high renewal increases and we expected we would see more move outs. Frankly, we have 300 less move outs in January and the fact that we have more people living with us. We were allowed to push our market rents even further than we ever expected. So, I think it goes back to we sent out some pretty aggressive renewals, people took them, they are not moving, starting to see a very similar trend in February. So it gives us a little bit of wind at our back if you will.
Rich Hill: Great.
Joe Fisher: I’d say too. I mean, we have talked about this in the past. I mean, it’s been throughout the last 12 months and I think you can take a look at a couple of different things. But obviously there’s demand side when you look at what’s taking place in wages and balance sheets, those are obviously in a very positive position. When you look at demographics, the household unbundling, what’s going on with migration trends, some of those type of things. I think the relative value side when you look at single-family value proposition relative to multi. Multi is in a very good position. But when you look at migration trends just within our markets, I think, all of our markets are in pretty good demand at this point in time. So Mike have some pretty good stats for you in terms of what’s going on in New York, San Fran, Sunbelt, some of that stuff that we are seeing on new move-ins.
Mike Lacy: Yeah. Thanks for taking that up, Joe. I think that’s a really good point. When you look at our move-outs at in general, we had more former residents staying within the metro area. When you think about our portfolio, we have 77% of move-outs staying within the MSA and this compares to 78% last year. Just to give you a few markets as an example, so New York, 80% versus 80% last year, San Francisco 72% versus 77% last year and then our Sunbelt was at 82% of move-in -- move-outs staying within their MSA versus 80% last year. So, staying relatively consistent. As it relates to move-ins, what we are seeing is a little bit more of a reversal of the trends in 2020. 34% of our move-ins came from outside of the MSA and this compares to 20% the year before. And again, just to give you a little more color on some of the markets, New York, 36% of move-ins from outside the MSA versus 16% the year before, San Francisco was around 40% versus 14% the year before and then our Sunbelt was actually 40% versus 33% the year before. So, pretty promising, overall, coastal markets experienced more people move-in from outside of the MSA. So, very strong trends.
Rich Hill: Perfect. Guys, this is excellent. Thank you.
Tom Toomey: Rich, you sure you don’t want to hear a little bit more about the traffic patterns on the migration side of the equation? Mike…
Rich Hill: I would love to hear…
Mike Lacy: Let me tell you…
Rich Hill: I want to hear anything you want to tell me.
Tom Toomey: We will move on. Thanks, Rich.
Operator: Thank you. Our next question comes from the line of Rich Hightower with Evercore ISI. Please proceed with your question.
Rich Hightower: Yeah. Good morning, guys. I guess, I could ask a question about traffic, but maybe we can parlay that. Maybe you can sort of parlay that into my first real question, which was just on your basic assumption around demand patterns for the second half sort of gets you to the current guidance, which, of course, you have pointed out that you will have a lot more visibility in a couple of months here. But what are you sort of underwriting in terms of basic demand, because if we look at the second half of 2021, depending on the source you look at, it was somewhere between 2x and 3x what is typical and that seem to apply to every market except for New York and San Francisco, let’s say. So what are you sort of assuming on that basis again for the second half of this year?
Mike Lacy: Yeah. Rich, this is Mike. We -- right now we expect pretty typical seasonality and when you look at that 6.5% to 7.5% blend that we gave for the year and I gave you a 10% to 11% in the first half, that implies about a 3% to 4% growth in terms of blend in the back half. So again, it’s coming down more seasonal, and again, we think we do have the wind at our back and maybe there’s some conservatism in there. And we will see when leasing season starts to pick up and we will be able to give you a little bit more color.
Rich Hightower: Okay. Fair enough. And then just on the capital side, I noticed that there’s a big zero for disposition guidance this year. Is that a sort of a sold for X in the sense that you don’t need the capital from that particular source or is it a statement about the, obviously, it’s not a statement about the current ability to sell assets, which is presumably very strong. But just what’s driving that particular element of guidance?
Joe Fisher: Yeah. Hey, Rich. This is Joe. You nailed it on the head there. It’s really sold for X. Meaning that, we have got pretty strong free cash flow sitting out there, call it, $185 million or so, now there’s $235 million of equity and that really funds all of our development and redevelopment CapEx type of needs going into next year. So if we find opportunities, as Andrew Cantor talked about earlier, if the pipeline picks up and we can find accretive opportunities, at that point in time, we will pivot back to do we want dispositions? Is equity priced appropriately at that point in time? So it’s really just kind of how we see the pipeline today and stacking up and starting with zero today. But it wouldn’t be surprised if dispositions pick up as we move throughout the year.
Rich Hightower: Got it. Thanks, Joe.
Operator: Our next question comes from the line of Austin Wurschmidt with KeyBanc. Please proceed with your question.
Austin Wurschmidt: Great. Thanks, everybody. Mike, not sure if I missed this from an earlier question, but could you give us what you expect for market rent growth across the portfolio in 2022? And then I am curious if that mid-to-high single-digit loss to lease heading into 2023 you reference, is that based on sort of the conservative guidance that you guys have outlined? And how does that change, I guess, if back half of growth outperforms your initial projections?
Mike Lacy: Yeah. It relates to market rents. We expect again, call it, 6% to 7% for the year, that’s what we are looking at when it comes to new lease growth.
Tom Toomey: First half of X and second half of Y.
Mike Lacy: Yeah. In the first half…
Austin Wurschmidt: And then…
Mike Lacy: … when you think about marker ramps again it’s − we have been blend − giving the blend of that 10% to 11%, say, the new lease growth is a little bit higher than our renewals and both the front half and back half as we continue to push through the year.
Tom Toomey: So what it kind of implies for that back half full year…
Austin Wurschmidt: Yeah.
Tom Toomey: … if you looked at a 4Q 2022 over 4Q 2021, so if you are picking up 10%-plus blends in the first half, a full year of 6% to 7%, your blends in the back half get into the 3% to 4% range, that really aligns with how we are thinking about market rent growth for the full year in 2022. So, a typical year, typical seasonality, what you have seen over time, so assuming back to normalcy. Although, I think as Mike talked about earlier, we are not seeing any signs of that, obviously, with shooting up 2% out of the gates, demand strong immigration trend strong. So not seeing it yet, but that’s what we put in the numbers. And so to your second point, if we do see sustainability of these current trends and market growth continues to pick up, obviously there’s a little bit of a pickup to same-store numbers this year. But the bigger pickup is going to be in terms of that lost lease in terms of mid-to-high single digits we talked about. That’s going to pick up even more and we are going to grow that earning for next year and grow same-store revenue growth for next year. So it becomes more of a next year story of second half as that strength that we are hoping for.
Austin Wurschmidt: Yeah. So I guess it depends on how much market rent growth outperforms, whether or not you can still do better in the back half and end up in the same position or even better position on the lost to lease heading into 2023, is that fair?
Tom Toomey: That’s correct.
Austin Wurschmidt: Okay. Got it. And then based on the 2% move-ins you have seen year-to-date, is that broad-based or are there specific markets that are driving the strength?
Mike Lacy: It’s pretty broad-based. We are seeing kind of that convergence, if you will, across our markets. So we have seen pretty good demand as it is in the Sunbelt and we are also seeing it in our Pacific Northwest, as well as the Northeast markets.
Austin Wurschmidt: Okay. Got it. Thank you.
Operator: Our next question comes from the line of…
Tom Toomey: Thanks.
Operator: … Brad Heffern with RBC Capital Markets. Please proceed with your question.
Brad Heffern: Hey, everyone. Just following up on that last answer that you notably excluded California from that, so I am curious if you could give your thoughts on the Bay Area, where do you think it is in the stages of the recovery and how you see it playing out this year?
Mike Lacy: Yeah. I didn’t mean to leave them out. I apologize for that. So Southern California is definitely a little bit stronger than Northern California today. That being said, San Francisco is the one market where we just -- we haven’t reached those pre-level pre-COVID peak rent, if you will, we are getting closer. And I will tell you right now, we are running around 97% occupancy, the concession levels are a relatively muted at this point in that 1% to 2%, our two-week range and it’s more so down in the kind of Santa Clara, San Mateo than the world, down -- so much as well as downtown, we have actually seen a little bit of a pop in demand. So, right now San Francisco feels like it’s at a sustainable level. That being said, I think we have a few more months before we start to see rents get back to those pre-COVID levels.
Brad Heffern: Okay. Got it. And then on DCP, you guys are guiding to net redemptions this year. Do you have any figure you can give for kind of what the headwind that is for earnings and should we sort of expect net redemptions to continue as long as we are in this current environment?
Joe Fisher: Yeah. Hey, Brad. It’s Joe. Yeah. I am going to step back a little bit because you did highlight the DCP guidance and the net source of capital that it is this year. But we did want to comment a little bit on that relative FFOA growth versus peers because we got a couple of questions or we saw a couple comments and notes on it. So I guess number one, I’d step back and say, we talked upfront in the commentary seven years of the last nine years have continued to outperform the peers on earnings growth over the last three throughout this downturn. I have had a pretty meaningful degree of outperformance. So I think we have had a pretty good history and track record of outperformance. As we sit here and look at relative to peers today, we are about a 1.5% light on 2022 growth. I definitely hope with the team, the competitive advantages, some of the levers that we can pull on growth and operations. Hopefully, we are able to close that gap and continue our track record on a go-forward basis and exceed pure average. But kind of building blocks of it, not normal, everybody has in theirs. What our same-store numbers are. We do have a drag on interest expense, a little bit more debt in the capital stack next year, but we have also assumed about 100-basis-point increase for short-term rates throughout the year. So you have a drag on that front. The G&A front, we do have continued growth as we continue to invest in our people and pay competitive compensation packages, but also continue to invest in the areas of innovation, ESG and human capital, and so we have a number of headcounts that we are adding in those areas to keep driving forward those specific department. And then you get into kind of the external growth pieces. On the development side, if you look on Attachment 9 of the supplement, you can see that we kind of have this unique period of time right now where we have four developments that are all hitting lease-up, which is very rare to have all of them come off cap interest and go into lease-up right at the same time. But if you look at that $350 million of development, you have got between cap interest and NOI only about a 1.5% yield this year. Those assets are meaningfully outperforming our original underwriting. We think those will stabilize out in the 6.5% range. So right there you have a $0.04 to $0.05 pickup or 2% of pickup to earnings sometime over the next year to two years as those work towards stabilization. So that’s a little bit of that drag. DCP, you mentioned, can be choppy at times and we do have a -- that is a net source of proceeds this year. That said, I think, Andrew obviously can talk about the pipeline that we have there, but feel comfortable that over time, we will continue to be able to grow that. And so as redemptions come in, sometimes they may be choppy, but the reality is we are going to look to redeploy. And so, I will turn it over to Cantor in a second. But one last point just on the balance sheet was, we did mention that we fully equitized our transactions last year utilizing equity. So we did give up leverage capacity on that to further our leverage goals and so we accelerated our decline in debt-to-EBITDA which you saw was 6.4 times here in the quarter. So that actually cost us a couple of pennies as well. And so a couple of UDR-specific headwinds, but all of them are setting us up for, I think, on development DCP and on balance sheet better growth on a go-forward basis. But Cantor, can talk -- take you through a little bit what you are seeing on DCP.
Andrew Cantor: This is Andrew. So we do expect to be able to deploy capital into new deals. In addition to providing developers with DCP for new developments, we have recently underwritten several opportunities to provide DCP to owners of existing communities. We do this expansion into the existing product as both an opportunity to accretively invest capital, but also to create a large pipeline of future acquisition opportunities. And I think it’s important to look back at what we have been able to achieve to-date. We have invested almost $665 million in 21 deals since 2013. Of the $371 million or 11 round trips we have achieved, our returns are 11.4%. We feel our returns on our existing pipeline, no, our existing deals will be consistent with what we achieved to-date. And going forward, we are likely to see high single digits to low double digits as we diversify our investment between existing communities and developments. Our returns will likely be adjusted as we look at both the investment in existing product, as well as development on a risk adjusted basis.
Brad Heffern: Okay. Thank you for the long answer.
Operator: Our next question comes from the line of Juan Sanabria with BMO Capital Markets. Please proceed with your question.
Juan Sanabria: Hi. I was hoping you can talk a little bit more DCP continuing perhaps how should -- I think you talked about growing that platform $400 million to $500 million previously. So if it’s just a matter of timing that the net shrinkage of the platform in 2021 redemption or has the opportunity sort of backdrop changing. It seems like maybe you are expanding the opportunity to be more − of a more expected acquisition focus. If you could just give us a bit more on that, that would be fantastic.
Joe Fisher: Yeah. Hey, Juan. It’s Joe. So it’s definitely not the overall size of the opportunity set that is necessarily shrunk. We still see a great opportunity out there and so that $400 million to $500 million desire is still on the table. It’s just that we have had a couple of pretty successful outcomes here. We had Orlando the Essex Luxe deal, whereas say buyout earlier than their maturity, but because of that we are able to get a little bit of a discounted price, a little bit better yield. And so, obviously, it costs us a little bit of earnings and proceeds this year, but beneficial net-net to the long-term earnings profile of the company. And then 1200 Broadway we weren’t able to compete on the pricing on that one, but we did have upside participation as you saw on the SAP of around $12 million and so that actually enhanced that IRR -- I think around 14% IRR above and beyond just the press. And so a couple of successful outcomes that just happened to be kind of the short window of time. But typically when you look through our DCP pipeline, you can see the maturities they are on 11B and so when you look down that you can see pretty diversified maturity profile which is what we typically try to do. And so, I fully expect as we move forward throughout the year and continue to grow the pipeline. I think you will see that $290 million tick up to the $50 million that’s already committed to the existing pipeline, so that gets you to $340 million. And our desire and hope is that, Andrew and team continue to find another $50 million to $150 million here over the next 12 months to 24 months to get us back up to that target that we would like to get to. So, not a byproduct of lack of opportunity, just more or so timing right now.
Juan Sanabria: Great. And then just my second question on the Next Gen 2.0, it seems like the upside is going up to maybe $15 million to $20 million. Can you just talk about a little bit more on the flavor of those opportunities? Is it more on the cost side and/or the revenue side? And what’s the most near-term opportunity that you think will bear fruit here as we think about the next 12 months to 18 months?
Tom Toomey: Sure. Juan, I always appreciate the chance to talk about a platform. So we talked about this a little bit in the past and we have been pretty successful as we look at our pretty initiatives. And that’s around that $15 million to $20 million we have identified in the near term over the next 12 months to 24 months. The majority of this is on the revenue side of the equation versus the expense. Platform 1.0 really focused on that efficiency piece. This is going after some big dollars in terms of revenue. So when you think about kind of the max potential in those big ideas, if you will, we do have call it three of them that make up almost 75% of that $100 million we are going after. And just to put it in perspective, one of the big ones is pricing and when you think about our rent roll of $1.2 billion, we think we can go after about 1% of that or about $12 million. And this goes back to some of my prepared remarks, creating more buyers for shoppers, working with surge pricing given the level of demand that we are achieving right now, the fact that we have opened up the funnel and we have more traffic coming through. So, basically utilizing our centralized teams as it relates to our sales team here, our marketing team and our pricing team and really getting more aggressive as it relates to those market rents and renewal increases. Aside from that, you have heard us talk a lot about vacant days, on average we are around 21 days. We look at how we can break this down, right? It takes seven days typically to turn a unit and then about 14 days after that. Frankly, we have markets where we can turn units in three days. So leveraging the ways that we do out there, those best practices continuing to get more efficient, we are not going to run 100% occupancy, but if you could, that’s about $40 million to $45 million in potential. So there’s a lot of opportunity and just being more efficient in the way that you drive your occupancy up versus cutting rates. And then, third, it’s really around that resident experience. Understanding our resident better, understanding our future prospects, leveraging again that $1.2 billion in our rent roll, we think we can go after 1% to 2%, so $12 million to $24 million. It allows us to be a little bit more efficient as we retain our residents, as we attract our future residents. And frankly, lets us push our market rents up, if we are able to have a much higher retention rate. So, again, this big picture, big potential items allow us to get pretty aggressive and they are more on the revenue side than the expense side.
Juan Sanabria: That’s it. Thank you.
Operator: Our next question comes from the line of Neil Malkin with Capital One Securities. Please proceed with your question.
Neil Malkin: Hey. Thanks, everyone. The first one for me, I think, people have talked a little bit about it, but on the acquisitions. Joe, I don’t know if it was you last time, but it seemed like you guys were talking about just on the acquisition side being pretty aggressive. I think it’s clear to everyone how valuable your Next Gen operating platform has been to your success there. But just your commentary on sort of the end of 2021 kind of a quiet quarter, especially, nothing announced subsequent to quarter end. Your stock price is pretty much where it was before. I mean, really low cost of capital. So, again, is the acquisition commentary just a function of timing or are you seeing cap rates despite the value-add from your -- installing that into your platform just a little bit too low for you right now? Can you just maybe talk about that and if we should kind of change how we think about your aggressiveness or the ability for you to acquire above your peers in 2022?
Joe Fisher: Yeah. Fair question, Neil. It’s -- I’d say it’s more of a right product or just the timing of the year. So you see a lot of product brought to the market throughout the year, but as you approach year end, less product being marketed for sale. In addition, the first three weeks, four weeks of the year end up pretty slow up until NMHC Conference and so, you see a lot of deals launch at that point in time. So there’s a lull naturally just given seasonality in the pipeline, but then it starts to pick up again. So I think you have got a little bit of a pipeline issue there. As you mentioned, the platform and you use the word aggressiveness, I will use the word discipline around it. But, yeah, we have been pretty active on that front, trying to make sure we find platform-centric deals and so we are fairly selective. So even when there is a lot of transactions taking place, the reality is they are not all going to fit in terms of which markets do we want, which attributes do we want, are they going to be adjacent to or nearby to an existing assets, we can pod them. So we have been pretty selective. But I definitely wouldn’t take the lack of activity in the last 30 days to 60 days as a sign that we are not continuing to look. We are not being diligent and trying to find more opportunities and similar to DCP and similar to what we are doing on development with growing that pipeline. I think we are going to continue to be active and try to take advantage of the competitive advantages that we have right now.
Neil Malkin: Great. Yeah. I will just call it aggressive discipline, what I mean?
Joe Fisher: Okay. We can meet in the middle on that one.
Neil Malkin: I am just kidding. No problem. I get you. We understand. The other one for me and maybe Mr. Van Ens can chime in. D.C., California, Seattle, I mean, I don’t know, are people going to -- are the deliquesce going to be up by 2025, who knows. But can you just talk about the various either moratoriums or rent renewal increase moratoriums going on in D.C., California and Seattle. Can you just give us overview of where things stand and where you guys expect today? Like as of today, where you see or when you see those things finally expiring and really being able to get your markets − market around growth or renewals back to true market levels? Thanks.
Chris Van Ens: Yeah. Neil, this is Chris. Thanks for the question. Maybe I will back up a second and just talk a little bit more portfolio and then get into some of those markets. It’s a high level and continued to be incrementally positive on where COVID emergency regulations are moving. Think you have seen us and Tom talked about it, very successful in securing rental assistance for our residents thus far. Over $28 million in 2021, we did another $3.2 million or so in January, so that continues. But as you mentioned in those markets and a couple others, environment remains very fluid, still plenty of regulatory challenges to really combat going forward. And you mentioned specifically eviction moratoriums, right now just about 5% of our NOI is subject to actual moratoriums, but 65% of our NOI is kind of experiencing process delays. With regard to our ability to move on long-term non-payers that really refuse to work with us or apply for rental assistance and those process delays are, I mean, you have seen these eviction protections that are granted during the application process, mandated eviction diversion programs. Mike talked about backlog’s court system, et cetera. So for California in particular, March 31st is going to be obviously a very big date to watch. That’s when the state preemption and local moratoriums lapses. We will be keeping an eye on that. We are not going to speculate on potentially where that goes, but obviously, watching to see if any of our municipalities choose to implement anything starting April 1st. But, in general, in total, continue to make progress on all this. A lot of dedicated work from the teams in the field and that corporate. For some of those other markets, we are really looking a little bit more at the legislative front. Obviously, still very early in the process with that, tons of bills are going to come out in the coming weeks and months. All of which we will be closely monitoring. The biggest areas of focus right now, I would say, I think, we are all familiar with New York SB 3082. It’s good cause eviction essentially effectively universal rent control. That remains in committee. We will see if it gets some traction over the coming weeks. State of Washington, we are looking pretty hard at the Bill HB 1904. That actually requires 180-day notice for a rent increase over 7.5 %. And frankly, it includes a lot of other intricacies that just make it more and more difficult to efficiently price our apartments in that state. That Bill is now out of committee but once again continue to monitor. And then there’s a variety of other states, whether it’s Maryland or Massachusetts, excuse me, Virginia, Florida, that have some type of rent control bill, good cause eviction, legislation, et cetera, probably, less likely for success in those states. But once again we are looking all through that. I think it’s just important, though, to say that, given all of this stuff that we see and the challenges we faced, it’s important we stay flexible, importantly, we stay adaptable in our operations approach, just as we kind of move back towards business as usual we hope in 2022 throughout the portfolio.
Joe Fisher: Hey, Neil. This is Joe. Just one other thing closing out, you kind of asked where we think it’s headed. That’s -- I will be qualitative. I thought I’d give you the quantitative to just underline our assumptions there that support Mike’s guidance. So, I guess, number one, just pointing out in 4Q, we saw a couple of comments on page two of our press release. The -- in the quarter cash collections of 95.5% came down from 95.8% in 3Q. They just want to highlight that that’s not a concerning trend to us. That’s a typical seasonal trend. If you went back and look at last year’s supplement, we actually dropped about 70 basis points sequentially. But eventually, all these are -- quarters are getting back to 98%-plus on collections for current residents and that’s really what underlies our guidance for 2022, as 2022 looks a lot like 2021. We get to 98%-plus collected and we will see where some of these eviction moratoriums and other legislative actions go. But right now we think it looks a lot like 2021.
Neil Malkin: Okay. Just so if the D.C., are they done, did that expire, the rent increase moratorium or did they extend that?
Tom Toomey: Yeah. The rent increases expired at the end of this -- end of 2021. So, obviously, we have only had a small portion of time thus far where we could send out increases. Their eviction moratorium essentially ended at the same time, December 31st. But with that being said, there’s still plenty -- as you know there’s still plenty of transitional protections that allow people to stay in homes.
Joe Fisher: And you still do have -- in the D.C. region, Neil, you still got Montgomery County, which is about 2% of our NOI. You got LA, you got New York City rent stabilized, you got CPI plus seven years up in Oregon, CPI plus five years, California, 15 years and older. So there’s other various restrictions as well.
Neil Malkin: Okay. Thank you, guys.
Operator: Our next question comes from the line of John Pawlowski with Green Street. Please proceed with your question.
John Pawlowski: Thanks for keeping the call going. Maybe just a follow-up to that conversation, I know it’s a very difficult number to quantify, but could you give us a sense for how much higher same-store revenue growth would have been this year had there been no COVID-related protections starting January 1?
Mike Lacy: Yeah. When you go through it and think about 98.2%, let’s say, collected for current residents, if you reverted our bad debt back to a typical pre-COVID number, there’s 100-plus basis points to go capture there. And then when you look at what was in place in terms of renewal restrictions and caps, you probably had another 50 basis points at least in the portfolio. So I think you are looking at 100 basis points, 200 basis points benefit last year, this year. But at some point in time, we would hope to get back to a pre-COVID level and be able to capture same-store units and be able to price them per the contracts that are in place. So over time at the tailwind, we hope, but that’s kind of magnitude we are looking at.
John Pawlowski: Okay. Final question for Harry or Andrew, on private market pricing you are seeing right now, as the quarters are all along and pricing becomes increasingly less differentiated. Are you guys finding yourselves just in your minds, at least redlining markets where relative value just doesn’t make sense in certain of your metros?
Andrew Cantor: Well, for us it’s -- we are not redlining any of the markets in particular, we are really just going back to what I discussed earlier, which is just finding the deal next door and finding where we can create efficiencies both from an operating perspective, as well as a capital perspective and leveraging the operating platform. We are still underwriting across the country in all 20 of our markets.
John Pawlowski: Okay. Thanks for the time.
Operator: Our next question comes from the line of Joshua Dennerlein with Bank of America. Please proceed with your question.
Joshua Dennerlein: Yeah. Hey, guys. I wanted to get back to that comment you made in the opening remarks about over the next, I think, 24 months you expect to maybe achieve $20 million of NOI from your 2.0 initiative rollout. Is any of that included in 2022 guidance?
Joe Fisher: Yeah. Thanks, Josh. Right now, we have about $5 million of that included in our guidance, so we expect to get a run rate on that as we go into next year and then we have another, call it, 30 initiatives that we are currently working on that makes up the rest of that that we expect to get towards the latter half of this year going into next year, so $5 million today.
Joshua Dennerlein: $5 million in guidance, not today.
Joe Fisher: Correct. That’s right.
Joshua Dennerlein: Okay. Okay. And then I wanted to kind of ask a big picture question. What has really driven, like, what do you think has really driven the occupancy gain to kind of record levels, it’s just….
Tom Toomey: This is Toomey. I will lead it off, Mike, help clean up a little bit. But I found an interesting stat that Mike was sharing with the group that pre-COVID, our average occupant per apartment home was 2.1 and today, it stands at 1.7. So in essence, people have, I hate to say it, gotten tired of their COVID roommates or gotten tired per se their cellphones, wherever they came from and our occupying units at a higher rate with a lower density. And that gives us a lot of comfort on a lot of things, because I think as we look towards the future and we think about income to rent, the potential to go back to the two to one creates a second wave of wind with respect to their ability to absorb our rent increases, as well as their wage growth, which has not been this prominent in 20-plus years. So when we think about our business model going forward, it’s not just the 2022 and what’s the rents and how can we increase them. What’s the likelihood we can sustain that into 2023, 2024 type timeframe. But I found that an interesting stat. Mike, anything else you would have for color?
Mike Lacy: No. It’s been good to see that plateau. It is something we watch very closely. And once it starts ticking back up, that shows you that there’s a little bit of fatigue there and we are still not seeing it. So that’s promising. As Tom alluded to, the rent to income ratios are pretty stable to where we have expected to see them over the past couple of years and we are not really seeing a big difference across our Sunbelt, as well as our coastal markets. It’s still low 20% range. So still have a lot of wind at our back, if you will.
Joshua Dennerlein: Great. Thank you.
Operator: Our next question comes from the line of Anthony Powell with Barclays. Please proceed with your question.
Anthony Powell: Hello. Good afternoon now. Just a question on just the cost savings that you mentioned now, the benefit from Project 1.0 and your new initiatives, can that drive your controllable expense growth from the 2% this year to closer to 1% in the next few years and how should we think about that just generally?
Joe Fisher: It’s not out of the question, but I will tell you the things that put a little bit of pressure on us today to keeping that around that 1% range that we have been accustomed to running over the last three years of inflation, so…
Anthony Powell: Right.
Joe Fisher: …as we do have people turning over in positions or we have more third-party contracts, we do have to combat that to some degree. So we feel pretty comfortable with that 2% to 3% range this year. That being said, some of these initiatives, as well as these big ideas that we are constantly looking at, we are always looking for that next big idea that will drive those controllable expenses down further.
Anthony Powell: Got it. Thanks. And maybe on market mix, some of your peers have put out, I guess, long-term targets of, I guess, your expansion of Sunbelt mix as close to what you have been doing for a while. I am just curious, any updates on your target market mix over time, it seems like you are pretty comfortable expanding your current markets, but any thoughts there would be great.
Mike Lacy: Yeah. I think when we look back and kind of think about the overarching strategy here of diversification, be that by markets, price points, submarkets, capital sources, capital uses, it definitely seems to work when you look back at the track record of TSR relative performance or FFOA relative performance. So coming through the cycle, I think, it’s just confirmed our belief that existing strategy works. Yeah, today, we are about a third West Coast, just under a third down in the Sunbelt, just over a third on the East Coast and so we can be pretty impartial on this front. So we don’t need to make any shifts. We feel very comfortable with where we are at. So everything really ends up being on the margin and so, I mean, when you look through our predictive analytics platform, there’s some markets in the West Coast that look good to us, Inland Empire, San Diego, Orange County. You go down in the Sunbelt, we have been very active in Tampa and Dallas. Those continue to look appealing to us. On the East Coast, we have been active in the Mid-Atlantic, Philly, Suburban Boston. So we have been fairly well-diversified. We are not trying to make any major shifts. The goal here is simply continue to find assets that fit within the existing market mix, a little bit better long-term growth from the markets we are selecting and fit with the platform. So you are going to get that immediate upside in accretion. So, no shifts and no explicit targets at this point in time.
Anthony Powell: All right. Thank you.
Operator: Thank you. There are no further questions in the queue. I’d like to turn the call back over to Chairman and CEO, Mr. Toomey for closing comments.
Tom Toomey: Thank you, Operator. And thanks for everyone for your time and interest in UDR today. As our press and our call you -- we have outlined our current thoughts on 2022, and frankly, in my 30-plus years in this business, I have not seen a better backdrop for our business today and into the future. In particular, a couple of points of I want to make is, as Mike highlighted, we have 60%-plus of our revenue by the end of April. We will be able to look at our -- and we will have the visibility about the second half and we will look at our guidance around that timeframe and see where it tightens up to, but certainly, feels like we have a lot of momentum in our back. In a competitive landscape with a lot of great companies out there, I think, it’s -- we have positioned ourselves very well where we have the strength in the sector, in the business, but we can bring to bear all our value creation mechanisms that are all working right now whether that’s acquisitions, development, redevelopment, DCP programs to deliver value immediately, as well as long-term. And with 21 markets we can pivot to where the opportunity is greatest and we have a track record of doing so and we see that as a good game plan for 2022. And lastly, on the innovation front, we have a pipeline of great ideas that are in various stages of continuing to advance. We know that our customer, our associates and our investors will benefit from that innovation. We try to be very transparent about where we think the world is headed and what we are doing to take advantage of it, and I think, that trend will continue. So, with that, again, grateful for your time, look forward to seeing you in the coming months, and as always, if there’s anything we can do, please don’t hesitate to reach out. Take care.
Operator: Thank you. This concludes today’s conference and you may disconnect your lines at this time. Thank you for your participation and have a wonderful day.